Operator: Greetings and welcome to Hudson Pacific Properties Fourth Quarter 2018 Earnings Conference Call. At this time all participants are in a listen only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Laura Campbell, Senior Vice President, Investor Relations and Marketing. Thank you. You may begin.
Laura Campbell: Thank you, operator. Good morning, everyone, and welcome to Hudson Pacific Properties Fourth Quarter 2018 Earnings Call. Earlier today, our press release and supplemental were filed on an 8-K with the SEC. Both are now available on the Investor Relations section of our website, hudsonpacificproperties.com. An audio webcast of this call will also be available for replay by phone over the next week and on the Investor Relations section of our website. During this call, we will discuss non-GAAP financial measures, which are reconciled to our GAAP financial results in our press release and supplemental. We will also be making forward-looking statements based on our current expectation, which are subject to risks and uncertainties discussed in our SEC filings. Actual events could cause our results to differ materially from these forward-looking statements, which we undertake no duty to update. With that, I'd like to welcome Victor Coleman, our Chairman and CEO; Mark Lammas, our COO and CFO; and Art Suazo, our EVP of Leasing. Victor will give an overview of our performance, Art will discuss leasing activity in our markets, and Mark will touch on financial highlights. Note, they will be joined by other senior management during the Q&A portion of our call. Victor?
Victor Coleman: Thanks, Laura. Good morning, everyone. Welcome to our fourth quarter 2018 call. 2018 was all about execution for Hudson Pacific in setting the stage for the Company's next phase of growth. We had our strongest year ever for office leasing in terms of volume and one of our strongest in terms of rent spreads. We signed a record 3.4 million square feet of new and renewal deals with 30% GAAP and 16% cash rent spreads. This included multiple 100,000 square foot plus deals with exceptional companies like Google, Netflix, Nutanix, and Square. We also did a massive amount of leasing in the Bay Area in 2018, nearly 200 deals totaling just shy of 2 million square feet with GAAP and cash rent spreads in these markets of 29% and 20%, respectively. This is a testament to the continued strength and vibrancy of our Bay Area office markets as well as our team's ability to drive leasing momentum at our assets across the city, the peninsula, and the valley. In the fourth quarter alone we signed over 800,000 square feet of new and renewal office leases at 36% GAAP and 20% cash rent spreads. Fourth quarter leasing highlights include an early renewal with Technicolor for the entirety of the 115,000 square feet 6040 Sunset office property in Hollywood, which carried a 15% mark to market. We also signed a 58,000 square feet lease with Nestle at our award-winning now LEED Gold certified 450 Alaska office development in Pioneer Square, which brings that property to over 95% leased. I'll also note that in aggregate across the Bay Area in the fourth quarter we signed over 530,000 square feet of new and renewal deals at 34% GAAP and 21% cash rent spreads. Of course, Art will update you on this pipeline, but we're seeing strong market dynamics and leasing activity across our entire office portfolio thus far in 2019. Our stabilizing in-service office properties finished the year at 95.4% and 93% leased, respectively. And as of this call, we've renewed, backfilled, or have lease deals in leases, LOIs, or proposals for about 50% of the remaining 1.2 million square feet of 2019 expirations, which are collectively 18% below market. Our in-place office rents are a comparable 19% below market providing us with a runway for continued growth throughout our portfolio. And furthermore, we have 1.1 million square feet under construction and near-term planned value creation projects, including One Westside which is now over 86% preleased. These projects have a weighted average of 8.1% initial stabilized yield, and we expect cash rents at our 500,000 square feet of active under construction projects to commence starting in mid '19 through mid-'20. In terms of our studios, during '18 we saw further proliferation of streaming content creators bolstering an already high demand for stages and production offices. Streaming companies, including Netflix, Amazon, and Hulu today account for about 30% of our studio ABR, with cable and network providers like CBS, Disney, ABC, Fox, HBO, and Viacom making up the balance. We've achieved higher occupancy, rents, and ancillary revenue in all three CDOs in '18, and year-over-year at Bronson and Gower, our trailing 12-month lease percentage increased to 150 basis points to 93.1% and our ABR increased 5.1% to $37 per square foot. We only have trailing 12-month data for Sunset Las Palmas starting in June of '18. In that time alone we've increased the leasing percentage by 1,070 basis points to 89.2% and ABR by an additional 2.7% to $42 per square feet. Further, with content companies locking up space with medium- to long-term deals generally three years or more in length, we have a mechanism to generate more stable cash flow while still capturing rental growth for shorter-term leases. Case in point, more than half of our studio ABR is now under long-term leases. With regard to capital recycling, we sold $465 million of non-core assets in '18 at meaningful premiums to our basis including Embarcadero Place and Palo Alto, Peninsula Office Park in San Mateo, 2180 Sand Hill in Menlo Park, and 9300 Wilshire in Beverly Hills. All of these assets presented us with an opportunity to capitalize on strong market conditions and sell properties that did not fit within our long-term portfolio and strategy due to location, building quality, and ultimately return profile. We remain committed to making smart real estate decisions throughout our portfolio. In terms of '18 acquisitions, in addition to purchasing three small strategic properties that further our development in Sunset Las Palmas, we had a two fantastic value-add opportunities in our portfolio. Both are emblematic of our unique value creation strategy in that they involve creative, reimagining, and/or adaptive reuse of urban, transit-oriented properties with our core markets. Our Westside Pavilion JV with Macerich is comprised of 548,000, sorry 584,000 square feet, One Westside creative office redevelopment, which was recently fully leased to Google three years in advance of completion, as well as remaining retail at 10850 Pico. In the fourth quarter, we purchased the Ferry Building in a JV with Allianz, or an addition to marking to market rents on leases rolled, we intend to capture revenue upside by driving foot traffic to the retail both from increased ferry routes and other measures. And we believe these efforts, which were in the final stages of planning, will further activate and enhance this already very special property. Now I'm going to turn the call over to Art for further details on leasing and our markets.
Arthur Suazo: Thanks, Victor. West Coast office markets performed exceptionally well in 2018, particularly the innovation and creative hubs where our properties are located. We had significant positive net absorption across all our major markets, including record absorption in places like downtown Seattle, San Francisco, and Silicon Valley. We had vacancy declines in all our markets, except out on the peninsula where vacancy remained stable. We saw double-digit rent growth in San Francisco and in Hollywood where fourth quarter rents surpassed those in West LA. For these reasons, it's not surprising that our pipeline, which represent deals and leases, LOIs, and proposals, stands at about 1.3 million square feet even after our record leasing activity this year. Now let's get into some specifics. The San Francisco Peninsula, which for purposes of this discussion includes Palo Alto, had nearly 125,000 square feet of positive net absorption in the quarter and nearly 470,000 square feet in 2018. Class A rents increased 1.8% in the quarter and 2.3% year-over-year ending at $86 per square foot, while vacancies stayed relatively flat and ended the year at 6.5%. Palo Alto remains exceptional with nearly $125 per square foot in Class A rents and 3% vacancy. Redwood City, Redwood Shores the vacancy and rents performed in line with the greater peninsula market with 18,000 square feet of negative net absorption in the fourth quarter and 17,000 square feet of positive net absorption for the year. Our stabilized peninsula assets are 88.5% leased and in place leases are 13% below market. We have 450,000 square feet of remaining 2019 expirations at our peninsula assets, which are 12% below market. This coverage, that is deals renewed, backfilled in leases, LOIs, or proposals, on about 50% of that space. Our peninsula portfolio, which comprises our properties in Foster City, Redwood Shores, and Palo Alto have fluctuated to some extent in terms of leasing percentage. We purchased all but one of these assets in mid-2015, and since that time, more than 60% of leased square footage has rolled. About 42% of leases expiring to date and not renewed have been greater than 10,000 square feet, which has ultimately required additional downtime to reposition and/or break up the space into smaller marketable suites. We're moving through that process, but we're also seeing some increased demand for more mid-sized tenants which bodes well for layouts that don't break out that easily. As we've discussed previously, our long-term portfolio strategy in the peninsula is to continue focusing on smaller tenants which remain underserved in this market. Even withstanding these challenges, we still achieved a modest gain in terms of in-service leased percentage at our peninsula asset, up to 82.3% as of the end of the fourth quarter. We've also marked to market rents growing average ABR per square foot by 16% to $63 and we've extended the average lease term from 6.2 to 8.5 years. So while there has been ebbs and flows and that will continue this year, we're making progress that is ultimately good for the bottom line. Silicon Valley, which for purposes of this discussion excludes Palo Alto, finished 2018 with positive net absorption totaling over 3 million square feet despite a 170,000 square feet of negative net absorption in the fourth quarter. There were 25 deals over 100,000 square feet last year accounting for more than half of the [indiscernible], five of those were in the fourth quarter alone. Class-A rents and vacancy ended the fourth quarter at $63 per square foot and 8.6%, respectively, which is relatively consistent quarter-over-quarter, but rents were up 3.5% and vacancy was down 240 basis points year-over-year. In 2018, we officially stabilized all but one of our Silicon Valley properties. Metro Plaza remains part of the lease-up category in name only, in that as of the fourth quarter, it was 93.5% leased. We have about 330,000 square feet of remaining 2019 expirations at our Silicon Valley assets, which are 17% below market with coverage on about 40% of that space. Overall, our stabilized Silicon Valley portfolio is 97.9% leased and in place leases are 11% below market. San Francisco had a record year across the board; 12 million square feet of gross leasing, 21 deals of 100,000 square feet or more, and 3.5 million square feet of positive net absorption. Class-A rents were up 12% for the year to $86 per square feet and vacancy fell a 170 basis points to 4.1%. We have about 120,000 square feet of remaining 2019 expirations in the city that are 28% below market with coverage on that of about 55%. We've also had excellent activity on our converted vault space at 1455 Market and expect to have something to announce shortly. Our stabilized San Francisco portfolio is 94.7% leased and in place leases are 36% below market. 2018 ended with several big deals by content creators in Los Angeles with Hollywood and West Los Angeles as some of the biggest benefactors. Hollywood is a standout. Class-A rents increased almost 13% in 2018 to $62 per square foot and vacancy fell 490 basis points to 9.4%, with nearly 130,000 square foot of positive net absorption. West Los Angeles was the business performing submarket in terms of absorption in 2018 with over 1.2 million square feet. Class-A rents fell 2%, $50 per square foot and vacancy stayed relatively flat at a 11.4%, mostly due to more moderate demand from some midsize availabilities at larger business park in Santa Monica. We have only two value creation projects remaining to be fully pre-leased and both happen to be located in Los Angeles. We're aware of the various reports that there is a deal for the entirety of Maxwell. To set the record straight, earlier this week we signed 55,000 square foot lease with WeWork at Maxwell which resulted in that project being 56% pre-leased. We're in negotiation for the balance of the building. At Harlow we're still a year away from delivery and we're fielding interest from a variety of entertainment tenants, both full and partial building users. We have about 214,000 square foot of remaining 2019 expirations on Los Angeles, which are 21% below market with coverage on about 40% [indiscernible]. Our stabilized Los Angeles portfolio was 99.2% leased and in-place leases are 15% below market. Downtown Seattle had over 2.3 million square feet of positive net absorption in 2018, including about 365,000 square feet in the fourth quarter. Class-A rents were up 6.5% for the year to $47 per square foot and vacancy fell lower this quarter to 7.4%, down 250 basis points for the year. With the entirety of 450 Alaskan's office space leased, we're focused on expirations. We have about 160,000 square feet of remaining 2019 expirations, which are about 32% below market, with coverage on about 70% of that space. Overall, our stabilized Seattle portfolio is 97.3% leased and in-place rents are 21% below market. Now I'll turn the call over to Mark for financial highlights.
Mark Lammas: Thanks, Art. In the fourth quarter we generated FFO excluding specified items of $0.49 per diluted share compared to $0.52 per diluted share a year ago. Again, the strategic capital recycling Victor described earlier on the call was the primary driver of this sequential decrease. Specified items in the fourth quarter consisted of transaction expenses of $300,000 or $0.00 per diluted share and lease termination non-cash write-off costs of $3 million or $0.02 per diluted share compared to specified items consisting of one-time debt extinguishment cost of $1.1 million or $0.01 per diluted share a year ago. FFO, including specified items, was $0.51 per diluted share compared to $0.52 per diluted share a year ago. In the fourth quarter NOI at our 31 same-store office properties increased three-tenths of a percent on a GAAP basis and 7.2% on a cash basis. For the 12 months of 2018, our same-store office NOI increased 1.1% on a GAAP basis and 3.5% on a cash basis. Recall that our 12-month cash basis comparison is muted by $3.2 million one-time improvement cost reimbursement received in 2017. 12-month same-store office cash NOI adjusted for this one-time item reflects growth of 4.9%. Our fourth quarter same-store studio NOI, including Sunset Las Palmas, increased by 18.3% on a GAAP basis and 16.4% on a cash basis. Full year 2018 same-store studio NOI excluding Sunset Las Palmas increased 10.4% on a GAAP basis and 3.7% on a cash basis. The full year cash basis comparison is muted by $700,000 one-time tenant improvement cost reimbursement received in 2017. Full year cash NOI adjusted for this one-time item reflects growth of 7%. As a reminder Sunset Las Palmas, which was acquired in mid-2017 and has been included in our last two quarterly same-store comparisons, will also qualify for same-store studio year-to-date comparisons starting with our 2019 results. Our 2019 same-store guidance estimates likewise reflect that transition. Victor mentioned the $465 million of non-core asset sales in 2018. Our successful capital recycling strategy continues to bolster our balance sheet, debt metrics, and access to capital. A quick glance at the debt summary pages in our supplemental highlights those trends. Leverage remains in check with total liabilities in the mid-30% of total assets and secured debt of less than 5% of total assets. We have no material maturities this year and total liquidity in excess of $500 million as of year-end. Many of you may have seen reports that Twilio recently subleased 259,000 square feet from Salesforce at Rincon Center in San Francisco. Sublease rents are more than 60% higher than in-place rents. We agreed to reimburse Salesforce approximately $6.3 million for costs incurred in connection with the sublease, which we are entitled to recoup from amounts paid pursuant to the sublease commencing February 1. We expect to be fully reimbursed by the end of March 2020, at which time Salesforce will remit half of the sublease rents exceeding those under their direct lease. We are providing full year 2019 FFO guidance in the range of $1.95 to $2.03 per diluted share excluding specified items. You'll note that our guidance midpoint represents 7% year-over-year FFO growth for 2019. These estimates assume the successful disposition toward the end of the first quarter of Campus Center, including the adjacent land for development for approximately $150 million. We expect to apply the proceeds toward the repayment of our revolving credit facility or other unsecured indebtedness. As a reminder, our full year 2019 FFO guidance otherwise excludes the impact of unannounced or speculative acquisitions, dispositions, financing, and capital markets activity. One final note regarding our same-store guidance. As we've discussed on prior calls, our same-store has never fully captured our company's NOI growth potential. Of our 47 in-service office properties, only 31 run through our same-store guidance. Our 16 non-same-store in-service office properties are poised to contribute cash NOI growth in 2019 of 36.2%. Add to that our projected cash NOI growth in 2019 from our same-store studio properties of 3.5% to 4.5%. Collectively, our studio and non-same-store in-service office properties are expected to generate 2019 cash NOI growth of 28.2% and will comprise 35.4% of our 2019 total projected cash NOI, contributing substantially to our growth this year. And now I'll turn the call back over to Victor.
Victor Coleman: Thanks, Mark. To summarize, we are very well positioned as we head into '19. Our markets continue to be among the best in the nation, driven by continued growth and expansion of tech and media industries. We've made significant progress already in our '19 office lease expirations, enabling us to capture the significant mark-to-market on those leases and our near- to mid-term value creation pipeline of office development and redevelopment projects are substantially pre-leased. And as Mark just discussed, our balance sheet has never been stronger, and based on capital recycling completed last year, we have ample cash flow to run and grow our businesses. As always, I want to thank the entire Hudson Pacific Properties team for their excellent work this quarter and the entire past year, and thank everybody for listening. We appreciate your support of Hudson Pacific Properties, and we look forward to be updating you next quarter. And with that, operator, let's open the line for questions.
Operator: Thank you. At this time will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Nick Yulico with Scotiabank. Please proceed with your question.
Nick Yulico: Thanks. Victor, just wanted to get your thoughts on where you see the Company's focus going forward. You do have the bulk of development pipeline now leased, still some leasing to do to increase occupancy in the valley. So I guess at this point you came off a year where you had some transitions with asset sales. I mean is the focus now internal growth and delivering the existing development pipeline, increasing the valley occupancy or do you maybe think about starting to recycle some capital out of the valley and look to increase development projects?
Victor Coleman: Thanks, Nick. Several points there. I think we've been pretty consistent in our focus in terms of geographical markets and the focus on redevelopment and development activities. You're accurate in that the projects that we have, that have come out of the ground currently today we've got a tremendous amount of pre-leasing already accomplished well in advance. There is always going to be a mix of internal growth and external growth. The external growth will be consistent of the redevelopment projects that we still have a lot of work to do. We've also said we've got almost a million feet in Los Angeles and another 0.5 million feet in the Bay Area of new development opportunities, and that's also on top of potential additional 0.5 million feet of development in West Los Angeles at our Riot Games campus, Element LA. So we've got a lot of future development in place today. There's a lot of opportunity in the existing portfolio to expand, whether it's lease up. And as Mark has let people know for a long time, that internal growth aspects, aside from just the lease-up that our team has done an exceptional job at, we have a tremendous amount of cash that is ready to be coming through the company from a leasing standpoint in mid- to late-'19 all the way through mid- to late-'20 before any of the new stuff that I just referred to. And it's going to, I think people have maybe not looked at it as seriously as they should, but I think it will be quite surprising as the amount of cash and the percentage of NOI increase that we're going to have in the Company in the next 24 months.
Nick Yulico: And in terms of the valley exposure, is that something that you're comfortable with over the next couple years keeping it at its level? Or do you think as you've now stabilized some of those assets, maybe recycle some capital out of the valley?
Victor Coleman: Well, I mean the mark in the valley has been, I think it's high teens now. It's 19% mark to market increase in the valley from our standpoint. We've rolled over 60% of the total square footage of the existing portfolio we sold somewhere close to a $1 billion of assets in that portfolio. I do think that the complexity of what we own today fits very well in our portfolio, and we're happy with that real estate more than I think people have maybe give us some credit for in terms of the operational aspects of the upside and the tenant mix. There is maybe an asset or two in the portfolio that we would look to recycle maybe in '19 or maybe in '20. There is nothing specifically on the books that we're looking to do other than campus now. So we're comfortable with it. We're comfortable with the remaining portfolio in Seattle, San Francisco, and here in LA, and I've always said there's maybe one or two assets that we would may be recycle, but we're still in a growth mode.
Nick Yulico: Okay. It's helpful. Just one other question, Mark. How should we think about some of the other items like, specifically recurring CapEx, TIs, leasing commissions, what that would look like this year as you're trying to get like some sort of adjusted FFO, FAD type of number for you guys?
Mark Lammas: Yes. Thanks for asking that. Actually Drew and I have been spending a considerable amount of time really thinking about that. Our view is, timing it is always a challenge because we have these pretty lumpy leases that come through, and it's difficult to pinpoint when draws on sizable TI allowances, for example, will ultimately be requested. A good example of that is Google only, at Rincon Center only recently asked for their TI allowance reimbursement on a lease that you know was signed quite some time ago. TIs were done quite some time ago. So it's very challenging to pinpoint when some of these bigger TI amounts will ultimately fit in the quarter. Having said that, our view is that AFFO, while we don't guide for that, looks like it will be in line with, materially in line with 2018 AFFO. In terms of the key component parts of that, commissions are looked to be, even though we expect to have a good year, I think we're not going to have some of these bigger deals that are new that tend to garner higher TI, I mean commission per foot amounts. So we'll have good leasing activity, but it will be on a lot more of these renewal type activities. So we think commissions will trend lower, recurring will be a bit, probably in line with 2018, and then the hard one and of course the biggest of the three contributors is TIs. They could be a little elevated compared to 2018, but it's really, really going to depend on timing for tenants asking for their allowances. So bottom line, we think it's, overall AFFO is going to be materially the same as 2018.
Nick Yulico: So just to be clear, you think that overall FFO is going to be the same as 2018 so that there is no AFFO growth this year?
Mark Lammas: Yes. And I know that sounds counterintuitive because FFO growth was 7% higher than 2018. I think, and again, this is going to depend on whether or not some of these bigger TI requests come through in 2019 or not. We think that's going to, that's showing a bit higher than 2018. But again, it's just a timing item. So, for example, and Victor alluded to this, obviously, we're not ready to start guiding to 2020. But what's happening is if we end up incurring a lot of this TI reimbursement amount in 2019, then what I just said will sort of bear out. If it spills, and if that happens 2020 AFFO is just going to go. It's going to really steeply increase. If it doesn't play out, then we'll have higher AFFO in 2019 than the current TI spend is suggesting. And because it will spill over in 2020 and it will mute a little bit more of the 2020 increase, right. So again it's hard, the challenge here is locking this number into calendar year 2019 timeframe as if it all sort of can be precisely bucketed there when in fact it's a more, it's a bit more fluid.
Operator: Our next question comes from Manny Korchman with Citi. Please proceed with your question.
Manny Korchman: Hey, guys. Good afternoon. On One Westside, it looks like the project costs went up as well as the yield's coming up. I was wondering if you could just give us more details as to what's going on with that project?
Mark Lammas: Well, the costs were, we gave you guys a range in the costs in negotiating with a single tenant, like we did with Google, and some of the changes that they wanted in the project were applicable to us modifying it. We had some soft bids, and then that changed. The timing was a big issue, too, which got, it got pushed out a little bit, but it reflected a much better yield than we wanted anyways. I mean I think if I go off a recollection, I think it was a 7%, 6.5% [multiple speaker].
Victor Coleman: It was 6.5%.
Mark Lammas: 6.5%, Yes, we took 6.5% and obviously we escalated that substantially. And it wasn't that material. I think, originally we said it was between 5% and 5.50% and right around the 5.25% range, total cost $140 million.
Arthur Suazo: Well, Manny, we had a base case assumption there that reflected a design well before we had a tenant in discussion, and the cost estimates that we originally set forth reflected that. And then, Alex and the whole crew got engaged with Google. They had significant input on exactly what they wanted. And we didn't try to constantly redo our estimates as negotiations were moving forward. We figured once we had, we concluded that we would come up with one final set of estimates. So that's why you see a significant change. But it was an evolution toward what is the ultimate design. And as you can see from the yield, we're getting more than paid for it, and in the sense that we're obviously pleased with where the final yields shook out.
Manny Korchman: Art, I have one for you. I think you mentioned at Maxwell you're at 56% now and you said you're in negotiations for the rest of the space. Is that negotiations with we work for the rest of space and if it's not how does having them in there as sort of a very large anchor impact discussions with other smaller tenants?
Mark Lammas: Yes. No, it's for a single-user but we're in negotiations and I can't comment on who the tenant is.
Victor Coleman: In terms of your second part of the question, Manny. I'll jump in on that. This is, WeWork pieces that is looking at taking down the Maxwell for the lease [indiscernible] their enterprise business and they've already got two tenants for the whole thing.
Manny Korchman: Got it. If I could ask just one last one. It sounds to me like your, the mark-to-market that you talked about on the expiring leases in 2019 has actually come down a little bit versus the levels you talked about last quarter. Is that a mix issue because you're including some of the 4Q '18 leases in that number or is there something else that we should think about as you're talking about those mark to markets?
Victor Coleman: Art.
Arthur Suazo: I don't think it's coming down at all.
Victor Coleman: Yes, I think, Manny, I think we've been in the high teens. At times we've over-performed our own initial estimates and gotten into that 20-ish range and low 20 range, but I mean that's, I think we've been pretty consistent around that number.
Manny Korchman: Thanks guys.
Operator: Our next question comes from Craig Mailman with KeyBanc Capital Markets. Please proceed with your question.
Craig Mailman: Hey, guys. Mark, on the Twilio lease or sublease can you run through kind of the mechanics of that? Like have you guys already funded the $6.3 million, so that's in '18. And then you get I guess around $1.3 million a quarter until March 2020, and does that run through like investment and other income? Kind of, can you just give us the, how that kind of flows through the '19 guidance?
Mark Lammas: Yes. I think you're sort of real close here. I think you understand how the footnote it translates very well. We have funded the $6.3 million. It was largely in January, and it was basically the commissions associated with the deal. The way the original deal works, it's whoever funds that out of pocket, first gets it back out of the sublease, incremental sublease rents. We funded it, so we get it all recouped first use, in the footnote it describes exactly how that happens. You've read that correctly that is to say we'll get $6.3 million back. If you translate that that's roughly $450,000 a month or you're about your $1.3 million a quarter. Once that we've recouped all of that by the end of March 2020, then we, the notion of even split of that incremental rent takes effect and we'll get, you can do the math, we'll get half that amount, right, instead of the full incremental difference. And so that's how it works. It's really just that straightforward.
Craig Mailman: Okay. And then just to clarify...
Mark Lammas: And by the way, it runs through, it will run through rent. I mean that just comes through as rent.
Craig Mailman: Okay. And then just this quarter, you guys didn't flag it, but it looked like you bought back about $50 million of stock. Is that accurate?
Mark Lammas: You're right.
Craig Mailman: Okay. And nothing is baked in for next year?
Mark Lammas: No.
Craig Mailman: And kind of how are you guys thinking about that going forward? I know you guys were buying back about 10% ago, but you guys are still trading at a pretty big discount to NAV and how --
Mark Lammas: Yes. Craig, we haven't changed our position on this. You've heard us say this multiple times over. At opportunistic times we're going to buy back stock, and we're going to deploy capital for what we think is the highest and best use at other opportune times. That's not going to change. Our plan hasn't changed.
Craig Mailman: Okay.
Mark Lammas: Thanks.
Craig Mailman: Victor, you had mentioned Campus Center. Any update there on timing or how the process is going?
Victor Coleman: We have two separate buyers, one for the land and one for the property, and I'm anticipating that we'll have this transaction closed by the end of this quarter and maybe it leaks into the year or next, but hopefully we're earmarked to make an announcement end of March.
Craig Mailman: Okay, perfect. And then just one last one, kind of a two-parter. On the WeWork lease at Maxwell, you guys said it's enterprise. Just kind of curious did you guys know that going on and kind of how does that affect the rent negotiations relative to just a normal WeWork that's going to be kind of smaller freelancers versus the enterprise? And then the second part of that, you guys have now leased up or close to leasing up both buildings. What's the view on the downtown or the Arts District exposure going forward? Is that kind of a hold or maybe opportunistically sell to fund other development?
Mark Lammas: No. So let me answer the second part first. The plan is to hold those assets. I do think that our story is proven out in the Arts District. Our yields are better than we initially thought. Early on we thought they were going to be worse. So I think they've come in better now with the transactions that we've already announced and the ones that we're going to announce. It took 3.5 years for Warner Music to move in this space. They're finally moving in this quarter. And Spotify is moving in later this year. Honey is on their way by middle of this year. So it's going to be a much different complexity in terms of the value creation, the rents, the population, and just the growth of the Arts District. That being said, if there was an opportunity for us to buy something or build something up there of size to capitalize on that future growth, it's something that we would consider. We don't have anything in the books now. This is not a reposition play for us to sell. Those assets are going to be a quarter of our portfolio. In terms of your comment on WeWork, I don't think, we don't look at a rent differentiator when our team has negotiated prior to deals with WeWork, one in Seattle and the one that we sold in Playa Vista. It's WeWork, it's the credit structure that we get from them which is our original lease which is a spectacular lease with the guarantees. And as a result, it wouldn't matter if it was enterprise or if it was their core business. That rent is going to be consistent with WeWork being the tenant.
Craig Mailman: Great. Thank you.
Operator: Our next question comes from Vikram Malhotra with Morgan Stanley. Please proceed with your question.
Vikram Malhotra: Great. Thanks for taking the questions. Sorry if I missed this, but just on the expirations, you talked about dealing with 50% of them. Any big chunks in the balance of expirations, anything big or notable on money?
Mark Lammas: Yes. Thanks, Vikram. Yes, we are 50% virtually done or in LOIs or leases or some form or function. The second 50% is pretty much the makeup of our consistency in that portfolio with the exception of two. I think standouts ones that we've commented on which one would be Saatchi & Saatchi, which is the last day of the year in our Torrance asset which there is no hidden secret there. That's an asset we've tried to sell. That's an asset that does not, it's not core to the portfolio and that's an asset we've been making a lot of cash flow from since 2010 when we contributed into the IPO. The second one would be Stanford Health, which is a known move out. How big, Art, two spaces, 63,000 square feet and 23,000 square feet. They're moving Redwood City to their own campus, right. So we've already got plans under way there. We own, market each of the space. But after that, no, there's nothing there.
Vikram Malhotra: Okay, great. And then just a question on the studio business. Obviously, there's been a lot of success there. I saw the strategic parcel that you guys bought. Just two parts to that. One, can you give us an update just given how that those, the three big assets have evolved, give us a sense of how you would, how we should now think about cap rates or valuing those assets? And then second part, just any update on looking at studios elsewhere?
Mark Lammas: So on the first question. Listen, I think we've imputed a cap rate that was always a 100 basis points higher than office. I think we've been proven wrong there. Matter of fact, I know we've been proven wrong there. What's transpired by comp other than the three that we bought between Culver Studios which at the time traded at a 4-something cap. And then with CBS Studios where everybody gave us a hard time for even looking at it, never mind buying it and trading at a sub 4% cap. I think you would now look at what we've created and what we're going to continue to create over at Las Palmas and Gower with an additional almost 1 million square feet between the two, you have to look at that as a comparable cap rate to Class-A office now. And the expense side you would alter because it is slightly higher from an operating standpoint. But look the mark to market rents in Hollywood were the highest in all of Southern California and I think it was somewhere around 12% in '18. So it just shows that the value it's created there and it's just continuing. I would say if we were to, which we just don't do on a regular basis, but if we were to value the cap rates today, it would be considered the same value as we would buy Class-A assets in Los Angeles.
Vikram Malhotra: And then just thoughts on any update on looking at studio assets elsewhere?
Mark Lammas: Well, we still have earmarked a couple of assets here in Los Angeles; one potentially may be coming to market later this year that we're going to take a hard look at. And we've commented in the past and we're consistent if we had an opportunity to buy in Vancouver both on the office side or on the studio side that would be a marketplace that we would like to expand our portfolio into.
Operator: Our next question comes from Jamie Feldman with Bank of America. Please proceed with your question.
Jamie Feldman: Great, thank you. I guess just starting out, the big news of the day, Victor, any thoughts on the Amazon decision and what you think it might mean for your markets or just tech and media companies making market decisions going forward?
Victor Coleman: Well, Jamie, you and I have spoken to this several times. We said that Seattle was always going to be Seattle. And in terms of Amazon, and we're seeing it now, regardless of the decision not to be in New York, Amazon is expanding in Bellevue in a big way, they're expanding in Vancouver. And so they are maintaining a strong presence on the West Coast and will continue to do so. I think since the H2Q announcement, they've leased over 3.1 million square feet in the Seattle area. So it still is their home. From a political standpoint, I'm not going to comment. I think it's an unfortunate situation personally, but I'm not going to comment on that. I do think that there is a, there are certain companies that will shy away from people who don't want them because there's a lot of cities that do want these companies and for as much press as you saw today on them not going there, there is equal number of politicians in other cities around the country have said that they would welcome them. So it's one's loss is one's opportunity I think.
Jamie Feldman: Okay, thank you. Are there any groups that were supposed to go to New York that you think now grow in your markets or I think it was all expansion?
Victor Coleman: It was all expansion. I think it was TBD in terms of, they number 25,000 people. I do think that we have seen, as I said, a big pickup specifically in Vancouver and Bellevue of what they want to do. I don't think in terms of specific to Seattle, to San Francisco or Los Angeles, we've not seen any major movement.
Jamie Feldman: Okay. And then looking at your future development pipeline, how should we think about the timing or potential prospects to start any of these projects, the sizable one?
Victor Coleman: Well, listen, we mentioned that we have an opportunity to build up in Northern California. We've had some reverse increase from some tenants. That would obviously be specific to us having a deal in hand before we broke ground. I just mentioned to Vikram the mark to market rents in Hollywood are almost, I it was 12.9% for the year of '18, and we've got in just Gower alone a 0.5 million square feet, which were in design for on effectively three buildings, two were attached with some studio component around them and then one just pure office. And I do think that as the market continues to grow and there's very little expansion in these marketplaces, we will consider breaking ground given where our reverse increase have been. It's a little early at Las Palmas right now for our 400,000 square feet. As you know, we just accumulated the land around it, and so now we have the ability to do so. And I think it's, and I think that is going to be dependent upon the media-related businesses that are growing here. Lastly, our last 0.5 million, plus or minus, square feet in West LA, I do think that's the furthest away just given the tenants in place today and Tencent's desire to continue to grow. That's going to be a negotiated items, so that's not going to be spec. So I guess to answer your question, Northern California and West LA will not be spec, Las Palmas, TBD and possibly we would go spec in Sunset Gower only given the current demand.
Jamie Feldman: Okay. Would you build more studio?
Victor Coleman: Well, the anticipated plan right now that we have designed with Gensler, as I said, is really a three-building complexes, two buildings with a studio, both on a ground level, but we're going to look to build above it. So we're designing that today. And if we felt that there was the opportunity to enhance that yield around that, that's something we're considering now. It doesn't take away much of our SAR. We're still close to 500,000 square feet, and we can move it around because it's fungible. And in terms of the office building, that's going to be the primary piece there, 350,000 feet roughly.
Jamie Feldman: Okay, thank you. And then just finally for Mark. As you think about the same-store guidance, I know it's a smaller part of the whole portfolio, but can you just talk through some of the assumptions around that like kind of year-end occupancy, leasing spread, cash rent bumps? I'm just trying to figure out how you get to that number from kind of a bottoms-up.
Mark Lammas: Yes. We don't, of course, we don't model to a target occupancy level or anything like that. We take our actual budgeted assumption. So this is the outcome of asset specific projections. But let me give you some kind of data points around it. At the initial midpoint here, 3% on the office, I think one key consideration is the same-store this year is significantly larger than it was last year. So last year's beginning same-store was 7.3 million feet and our starting point of NOI was about $245 million. This year it's 7.8 million feet and if you just take Q4 '18 annualized for that same-store pool, you're starting off at like $280 million of NOI. The 3% midpoint is about $8.5 million of projected NOI growth. That's very close to what our NOI growth was for last year's guidance. That is to say, we had guided at 3.5% growth when we, at the inception of the year, we ended up closer to 5%, but 3.5% on the original, on the NOI that we started with last year was about $8.5 million. And if you try to cut through that, what you'll see is you have to go through asset by asset. There were some pretty big drivers of that NOI growth last year at Rincon in part at 1455, 875 Howard. We have some of that same kind of big lift. So I'll take Rincon Center, for example, and a few others, Page Mill Hill, 875 Howard. It's just, you've got a little bit of a denominator effect because that same NOI is growing off of a pretty sizably higher starting NOI now. Also the portfolio starts to 94.7% leased. So it's not like you've got a whole lot of net absorption opportunity there. So we'll probably maintain that level, maybe we'll end up a little higher, maybe a little lower, but I think we can both agree that starting off at 95% leased doesn't give you a heck of a lot of room there to you increase your occupancy level. I don't know, I don't want to spend a whole bunch of time on media, other than to say that our projected, this again is a denominator. Last year we started off with a 873,000 square foot portfolio that generated $22 million of NOI. This year we start off with a 1.2 million square feet portfolio that's generating closer to $35 million. So our three, our guided 4% midpoint is about a $1.5 million of NOI growth. That's about what we generated in last year as at the 7% NOI growth on the smaller same-store. Again, we continue to forecast good growth there. Just that we're approaching stabilization on that portfolio. We ended the year at over 91% leased. Some of the other items I think we can quickly tick through. The G&A expense, $5.4 million of that increase on a year-over-year basis is merely the change in accounting standards on leasing. If you control for that, it suggests about a 5% increase or roughly $3 million over last year. You can see that's almost entirely non-cash compensation. Last year we had about $17.5 million non-cash. Now we're at $20.5 million. That's the impact of the amortization of our long-term incentive programs. So that, on interest expense, last year our midpoint, we finished the year by, call it, $83 million. This year we're guiding to $97.50 million at the midpoint. $12 million of that is really just higher line of credit. Balance then we averaged last year and $2.2 million it is not really interest expense, per se. If you recall, we have a loan that's embedded in the Ferry ownership that's not, so it does require us to book that as interest expense, but it's really a form of equity. And there is a corresponding offset in the amount that goes to the non-controlling interest that they get in the form of interest that they otherwise would have gotten in the form of the equity distribution. And then the last is just the FFO to non-controlling interest, which is about $4.5 million higher than we ended last year. And again, that's really the Ferry Building and just somewhat higher NOI at 1455 and Hill7. So those are the component parts. Hopefully that sort of explains the differences.
Jamie Feldman: Okay. No, that's very helpful. All right, thank you.
Victor Coleman: Thanks, Jamie.
Operator: Our next question is from Blaine Heck with Wells Fargo Securities. Please proceed with your question.
Blaine Heck: Thanks. So, Victor, I know it's hard to imagine rent growth getting any better than it has been, but it seems like we're entering this year with kind of a steady pace of demand and vacancy rates are generally lower than this time last year or so. I guess is there any reason to think rent growth should slow in your markets other than just kind of worries around an eventual reversion to the mean?
Victor Coleman: No, Blaine, listen, we look back at what we sort of projected it to be last year, and in instances I can just tell you, we looked at in our markets, we said LA would be somewhere around 6%, Hollywood as I said was close to 13%. So we were way off there. In San Francisco we thought it was like an 8% to 10% this year and '18 ended up being a 12% increase. So we were right around the hoop. We did say that we thought that the peninsula overall would be like a 4% to 6%. It ended up being I think 3.5%. So we were a little off on that one. And in Seattle, we were spot on. We said 6% to 8% and it ended up being like 6.5%. So I think going forward, if you're looking for me to sort of prognosticate how we look at it, I would sort of feel very comfortable around the same kind of numbers that we should have looked at last year, which would be Seattle being at 6% to 8%, and I think I'll probably be wrong because I think it'll probably be higher. We'll see increased numbers. But that 6% to 8% seems pretty solid from our standpoint. I think in the, coming down the coast, San Francisco it's hard to imagine. We've always seen San Francisco in double digits. So I'm going to come off of that number this year and say it's more like an 8% number and I'll probably be wrong only given the fact that there is so little product, new product coming into the marketplace and the amount of activity at the launch that seems to be growing at a consistent pace, but I'm going to say right around 8%. I think in the peninsula we're going to see the same kind of numbers. I'm going to say 4% to 5% instead of 4% to 6%, and I think we're going to hit that because North San Jose is proving out to be the big leader there. It's obviously an offset with Palo Alto at rents at over $120, I don't know, a foot or something like that right now. But if you look overall, I still think you're going to see some positive momentum. And then lastly, in Los Angeles, we have the same issue, but it's even magnified worsening. Look what's happened between Hollywood and our One Westside deal. And these are deals that were in a marketplace, Blaine, that was never anticipated at pre-leasing. These are deals that are leased two to three years in advance. And the demand for media and the surrounding tech growth still seems to get the attraction. And so I think we're looking at a 6% to 8% in that market again, and I hope I'm wrong in all of these and that they're higher, but to answer your question I think in detail, we still see rent growth momentum in '19.
Blaine Heck: All right, great. That's very helpful. And then I know it's early, but if I'm remembering correctly, you guys have already seen some expirations at the Ferry Building. Can you just talk about the interest you've seen so far in that space and what type of mark-to-market you guys are looking for with that in upcoming expiries?
Victor Coleman: Well, so we've got one large space, somewhat large space with the Ferry Building coming, that has come due, and our team is positioned in that space today. There is lots of interest, so to speak, from lots of very interesting, very good name, some names that are our existing tenants at our portfolio at other locations and some names that want to get a foothold of the Ferry Building. I think from the office side it's a 30% mark to market is conservative, but my guys are giving me a thumbs up saying it is more, so 30% plus, Blaine, there. I think we'll be pleasantly surprised to see what's going to happen in there. We have one deal on the retail side, but we've said we are in a complete repositioning plans for the totality of our retail, which will be a one, two, three-year plan that is going to be very unique. I think it's going to increase the revenues as we've said, and we've engaged a very creative consultant, and we're in the middle of it right now. We've already, the plan is outlined and now we're in the middle of implementation. And the first space that comes due is a deal right now with one of the retail tenants that we've extended on a month-to-month portion, but that I think was a 20% increased amounts I think, roughly a 20% mark to market increase on the retail alone on this one location. So, Yes, it's playing out to be what we thought it would be, which is going to be unique mark to market opportunity and a great repositioning Hudson assets.
Operator: Our next question comes from Alexander Goldfarb with Sandler O'Neill. Please proceed with your question.
Alexander Goldfarb: Hey, good afternoon out there. So two questions for you. First, Mark, as we look at guidance for this year, it sounds like from your response to one of the earlier questions, there are no sort of unexpected move-outs that you're looking at for this year. But if you could talk about dispositions that maybe be over and above Campus Center that could come out this year and then how the lease up of Maxwell, specifically the timing of when WeWork takes their space for GAAP purposes, how that influences the numbers?
Mark Lammas: Yes. On the disposition, there is no assumption around anything but the Campus Center sale that we identified. Obviously the minute we, if that were to come around, we would, as soon as we possibly could, we will notify the market and make sure everyone understood the impact of that, but our guidance doesn't assume anything beyond Campus Center on the disposition. On Maxwell we did, we will turn possession over to them in February and GAAP rents will reflect that and obviously our guidance reflects that. Cash is expected to commence in July on WeWork. And so guidance assumes that early delivery. It's a tenant builds, so that GAAP requires us to take that straight line in at that point, and then cash will follow in sometime in July.
Alexander Goldfarb: Okay. And then the balance of Maxwell, I'm sure Art's working hard to lease it. But is there anything assumed for the balance of Maxwell in this year's numbers or no?
Victor Coleman: No.
Alexander Goldfarb: Okay. And then the second question is to Art. I think if I heard correctly in your comments in the opening, you said that you guys were sort of switching to a small tenant focus in the peninsula. Just sort of curious if you're expanding that strategy to other markets, or if it's just specific to the peninsula and then curious what that does as you think about it for the economics. Does this mean that you would get better economics or it's a reflection of where the demand is in the market?
Arthur Suazo: Yes. So that's not specific to the peninsula. Where we strategically, across the entire portfolio, felt like there was demand for this [indiscernible] the VSP program that we've talked about that's what I was referring to. And so we've had some, we had a couple of large move-outs. The appetite for full floor deals, deal quality in Redwood Shores isn't there, and so it's taking its time to kind of making bite-size pieces for the tenants who are in the market. And by the way, we've got probably, we've done about 150,000 square feet of VSP over the last 1.5 year there and we've got another, call it, 150,000 square feet teed up ready to go with a pipeline of deals across the entire peninsula of about, probably 400,000 square feet. So activity is still really good in that size range.
Alexander Goldfarb: Okay. And then, Art, so you said it's only for the peninsula or it's HPP portfoliowide from Seattle to ...?
Arthur Suazo: HPP portfolio wide strategically where we find that there is demand for that space.
Operator: This concludes our time for today's question-and-answer session. At this time, I'd like to turn the call back to Victor Coleman for closing remarks.
Victor Coleman: Thank you so much for support, participation and listening in, and I want to just give a shout out to the Hudson team for a phenomenal '18 year and our best leasing year in terms of volume of all time in the history of the company. We'll talk to you guys next quarter.
Operator: This concludes today's call. You may disconnect your lines at this time, and we thank you for your participation.